Operator: Good afternoon ladies and gentlemen. Welcome to Tucows' First Quarter 2015 Conference Call. Earlier this afternoon, Tucows issued a news release reporting its financial results for the first quarter. That news release and the financial statements are available on the Company's Web site at tucows.com under the Investors heading. Please note that today's call is being broadcast live over the Internet and will be archived for replay both by telephone and via the Internet beginning approximately one hour following the completion of this call. Details on how to access the replays are available in today's news release. Before we begin, let me remind you that matters the Company will be discussing including forward-looking statements and as such are subject to risks and uncertainties that could cause the actual results to differ materially. These risk factors are described in detail in the Company's documents filed with the SEC, specifically the most recent reports on the Form 10-K and Form 10-Q. The Company urges you to read its security filings for a full description of the risk factors applicable for its business. I would now like to turn the call over to Tucows' President and Chief Executive Officer, Mr. Elliot Noss. Please go ahead Mr. Noss.
Elliot Noss: Thank you, operator, and thanks everyone for joining us today. With me is our Chief Financial Officer, Michael Cooperman. As per our usual format, I'll begin today's call with an overview of the financial and operational highlights for the quarter. Mike will then review our financial results for the quarter in detail. And I'll return with some closing thoughts before opening the call to questions. The first quarter was an excellent start to 2015. With each quarter, the growth in the Ting Mobile business is having a greater impact on our financial results as we benefit from the operating leverage in the business as a whole. Consolidated revenue for Q1 grew 18% from the same period last year to a record $40.5 million. Once again, we saw our gross margin percentage exclusive in the portfolio group expand to 28% from 24% a year ago and I will note that's up from 19% for Q1 2013. Net income per share was up more than 5 times to $0.25 from $0.04 and adjusted EBITDA more than doubled from Q1 of last year to $6.9 million. I will note that the quarter did benefit from small onetime items, including another mid-six figure contribution from the last of our new gTLD arrangements. Ting Mobile added over 9,000 accounts and almost 16,000 devices in Q1, bringing us to 103,000 active accounts and 163,000 active devices. While that represents an impressive 10% growth in our base, it is disappointing, compared to the 10,000 to 12,000 accounts and 16,000 to 18,000 devices, we've added over each of the last several quarters. The good news that it's the result of a single lamentable but addressable event. On February 15th, Sprint changed the criteria for devices that are eligible to activate with Ting Mobile and other Sprint MVNO's. The intent was to deny devices that are tied to an obligation to Sprint. While we were told that the change was coming, neither we nor our customers were given visibility to which devices or how many devices would be rejected until the moment the change went live. When it did, an alarming 70% of devices that people were trying to activate on Ting Mobile were rejected, including many devices that were perfectly eligible by all stated criteria. We worked hard with sprint over the next several weeks to identify errors in the process and correct them, leading to the number of rejections falling to 30%. There are still a couple of outstanding issues and we continue to work with sprint to address them. There was a rippling effect on our acquisitions. Customers were frustrated about wasted purchases and confused about how to find an eligible device going forward. Our support team, already handling the welcome spike in Ting interests since the Consumer Reports survey became overwhelmed. We quickly moved to procure both temporary and permanent to address the volume. We quietly launched our GSM service on March 1st to give customers another option to activate devices. Meanwhile, we shut down all marketing and promotional activities until we could give every prospect and customer that reaches out to us the outstanding level of services that has defined the Ting brand as this continues to be how we expect to win long term, both in mobile and fixed internet. As I speak to you today, in the middle of Q2, we are just getting back to those acceptable service levels and back to acceptable conversion rates on our activation process and we are cautiously just starting to trumpet the Ting Mobile service again, and there was plenty to trumpet about our service and our business. Our GSM offering has made it more appealing, affordable and convenient than ever to give Ting Mobile a try. Customers are popping Ting GSM SIM cards into unlocked iPhone 6s, new mid-range Android devices, like the OnePlus One and every imaginable used market device that they already had or bought in the secondary market. Our net device ads per account in Q1 were the highest we've ever had, as our efforts to core families and businesses appear to be bearing fruit, and our GSM offering makes it easier than ever to bring multiple devices or add more. Our churn rate has dropped to just above 2%, our lowest level since tracking and reporting that metric as customers discover, they can switch networks and devices without having to switch providers. Most importantly, our customers have stuck by us through a difficult time. Our forums and social media are filled with appreciation for our effort and honesty in addressing the issues, and our customer satisfaction surveys reinforce that approval. Of course, the financial results are as healthy as ever, with customers spending about $35 a month, gross margins at around 50% and cost per customer acquisition under $100. In the coming months, we look forward to leveraging our improved service and our hard-fought customer relationships and combining those with financials with a return to form on customer acquisition. Ting Internet now enters the stage where there is a lot to do and not a lot to report. In Westminster, Maryland the town is building out the fiber network, starting with four core neighbourhoods. In Charlottesville, Virginia where we acquired local internet service provider, Blue Ridge InternetWorks, we have integrated those people into the broader company and are now working together to leverage, upgrade and expand the fiber network there. At the same time, we've been developing the Ting Internet service that will provide access to these networks, including an eligibility check to determine whether an address is serviceable and processes for sign-up, installation, activation and monthly billing. Both the product and customer support will be deeply integrated with our mobile service, leveraging the same interfaces, processes and people. Finally, we've revealed our launch pricing for Ting Internet. For residential customers, we'll be offering symmetrical gigabit service for $89 a month. We will also be offering a basic service with uploads and downloads at 5 megabits per second for $19 a month. This gives Ting town residents two great choices. World-class speed at a reasonable price, and reasonable speed at a world-class price. For businesses, we'll offer symmetrical gigabit service at $139 a month. This will be a striking outlier in these markets delivering businesses faster speeds than they typically enjoy now at hundreds to even thousands of dollars less a month. We expect to launch the service this quarter and begin welcoming customers as our network build outs allow. The other component of our business, Domain services continues to perform well. On OpenSRS, domain transactions were flat year-over-year, yet our Domain gross margin grew by over 6%. In fact, our gross margin for Domain here in Q1 was the highest it's been in seven years. The results of a continual shift in mix towards higher margin products including country code TLDs and new generic TLDs. The contribution of this business after expenses is up even more year-over-year, as we continue to be more efficient and effective. We also continue to be more focussed on servicing the unique need for webhosting companies and ISPs all over the world than any of our competition. We added another 32 new gTLDs to our offering in Q1. More than 1,900 resellers have registered at least one new gTLD by the end of the quarter, up from 1,700 at the end of 2014. OpenSRS also produced a remarkable renewal rate of 77% in Q1, our highest renewal rate ever. That is well above the 73.5% that Verisign has predicted for all of.Com/.Net in Q1. We hope to get a chance to compare to that of GoDaddy when they report their Q1 earnings next week. This speaks to the inherent quality of our resellers end users. The biggest retail services tend to have a larger segment of customers that never use the domains they register and thus let them go upon expiration. Our domains are more consistently attached to hosting and other Internet services. They're powering businesses and organizations that are built to last. Finally, we're continuing to see a welcome geographic diversification of our OpenSRS Reseller base. New registrations from outside North America and Western Europe were up 22% in Q1 year-over-year. Registrations outside North America and Western Europe now represent only 24% of our total, up from 22% in 2014 and 17% in 2013. All this paints the picture of healthy consistent manageable business with a growing product offering and a broad diverse base of resellers that deliver loyal high quality end-users. Hover, our retail domains channel continues its strong pace of growth, once again achieving increases in both revenue and gross margin in excess of 20% year-over-year and growth in the customer base of over 14%. Incidentally, Hover appears to be the exception to that rule about pure play Domain services and renewal rates with an incredible 81% renewal rate in Q1. It is no coincidence that Hover is also an exception to the rule about pure play Domain services and substandard customer support. As I mentioned at the outset, our portfolio results for Q1, benefited from the contribution of another arrangement related to our interest in new gTLDs. This one generated by the sale of our minority interest in Dotster and as a result of this contested domain name being resolved through a confidential private auction in February. We'd now like to turn the call over to Mike to review our financial results for the quarter in greater detail. Mike?
Michael Cooperman: Thanks Elliot. As Elliot indicted at the outset Q1 was an excellent start to 2015. Revenue grew 18% to a record $40.5 million from $34.4 million in Q1 of last year. Cost of revenues before network costs were $26.8 million, up $2.5 million or 10% from $24.3 million in Q1 of last year. Gross margin before network costs increased $3.6 million or 35% to $13.6 million from $10.1 million. As a percentage of net revenue, gross margin before network costs increased to 34% from 29%. For the Domain Services component of our business, gross margin grew 5.4% or $410,000 to $8.1 million with the increase being primarily the result of the continuing shift in sales mix to higher gross margin services we have discussed on previous calls as well as continued growth in Hover. Domain Services gross margin, also benefitted from another onetime gain related to the new gTLD arrangement, which I'll discuss in a moment. As a percentage of revenue, gross margin for Domain Services improved by 1 percentage point to 29% from 28% in Q1 of last year. Gross margin for the other component of our business, Network Access for the first quarter increased by $3.2 million or 130% to $5.6 million primarily due to the continued growth in the Ting Mobile customer base relative to the first quarter of last year. Our Network Access gross margins in Q1 of this year included a small contribution from the acquisition of BRI, which we closed in late February. Gross margin as a percentage of revenue for Network Access expanded to 43% from 36% in Q4 last year. The increase is mainly due to a much larger Ting Mobile customer base relative to the same period last year resulting in a much larger contribution from services relative to devices, which as we have discussed previously are sold essentially at cost. Breaking Domain Services down into its various revenue streams gross margin for the wholesale component of Domain Services decreased by $144,000 or 3% to $5.3 million, when compared to the first quarter of last year. This decrease was primarily due to the $420,000 decrease in revenue from the sale of names and pay per click advertising advertisings through the OpenSRS domain expiry stream. As we've discussed on past calls, revenue associated with name sales and advertising has been experiencing flat to declining trends which we expect to continue for the foreseeable future. This decrease was partially offset by an increase in gross margin from domain name services of $200,000, largely the result of the benefit we are continuing to experience from a shift in sales mix to higher margin services. As a percentage of revenue, gross margin for wholesale was unchanged from Q1 last year at 23%. Gross margin for retail services increased by $287,000 or 21% to $1.7 million from $1.4 million for the first quarter of last year as Hover continues to successfully add customers and grow sales to existing customers. As a percentage of revenue, gross margin for Retail Services was unchanged in Q1 last year at 58%. Gross margin from portfolio increased by $266,000 or 33% to $1.1 million from $810,000 in Q1 last year. The increase was primarily the result of the gain we recognized on sale of our minority interest in Dotster as a result of this contested domain being resolved through a confidential private auction in February 2015. Turning to costs, network expenses for the first quarter of 2015 increased by just under $100,000 or 8% to $1.4 million from $1.3 million for the same period last year and continue to reflect our ability to manage operating costs at our co-location facilities. Total operating expenses for the quarter however decreased by $146,000 or 2% to $7.8 million from $8 million in Q1 of last year. The decrease is primary the result of several factors. First, marketing costs decreased by $400,000 when compared to Q1 of last year, primarily the result of our decision last year to experiment with broader advertising initiatives to accelerate our brand awareness for Ting. Second, in Q1 of last year, as a normal part of our portfolio review process, we wrote off indefinite life assets with a book value of $250,000 that is not repeated in Q1 of this year. Third, we recognized the gain on realized foreign exchange of $794,000 in Q1 of this year, compared to a gain of $488,000 last year. Fourth, amortization costs decreased by $162,000 compared to Q1 of last year. These decreases were partially offset by our recording and unrealized foreign exchange loss of $1.3 million during the quarter compared to a loss of $768,000 for the first quarter of last year. This loss arose from the translation of our monetary accounts denominated in non-U.S. dollar to U.S. dollars as well as the revaluation of foreign exchange contracts and our foreign denominated assets and liabilities. In addition, we incurred increased credit card processing fee and bad debts primarily related to the growth of Ting of $200,000 and increased workforce related expenses of $200,000, again incurred in acquiring of servicing Ting subscribers when compared to Q1 of last year. As a percentage of revenue, total operating expenses decreased to 19% from 23% of Q1 last year. Net income for the first quarter of 2015 increased to $2.8 million or $0.25 per share for 477,000 or $0.04 per share from Q1 of last year. Turning to the balance sheet, cash and cash equivalents at the end of the first quarter of this year increased by $5.4 million to $13.7 million, when compared to the end of the fourth quarter of last year. We generated cash from operating activities of $2.9 million during the first quarter. In addition, we generated $6.6 million from our agreement to mend our online joint venture relationship to a marketing agreement that we discussed on our last call and received $3.5 million under our amended credit facility to fund the acquisition of our 70% interest in Ting Virginia, LLC. These sources of funds were partially offset by our raising $7.7 million in cash -- by our using $7.7 million in cash to repurchase 408,000 of our shares under the ongoing share buyback program and the modified Dutch auction offer we closed in the beginning of January. Deferred revenue at the end of the first quarter was $73.3 million, up slightly from $72.8 million at the end of the first quarter of 2014 and up $3.1 million from $71.1 million at the end of the fourth quarter of 2014. With that, I'd like to now turn the call back to Elliot.
Elliot Noss: Thanks Mike. At the time of our last call in mid-February we announced the renewal of our open market stock buyback programs, under which we have the ability to repurchase up to 20 million of our common shares until February 15th of next year. As Mike had noted, we were quite active with the program during the first quarter, repurchasing 214,089 shares for a total of $4.1 million. This is in addition to the approximately 194,000 shares we repurchased under the modified Dutch tender that closed in early January for just under $3.6 million. In aggregate, in Q1, we repurchased a total of just over 408,000 shares for a total spend of $7.7 million. We're thrilled that in the long term, Ting Internet has given us another option to allocate capital profitably. We continue to view share buybacks as an important tactic to increase shareholder returns. Before I address our guidance for the year, I wanted to take a moment to provide some clarity around our adjusted EBITDA metric. We have long relationships with a majority of our shareholders and it's been some time since we've provided a definition of adjusted EBITDA. As some of those shareholders have to varying degrees taken some of the profits off the table, we've seen new shareholders come into the stock, who've asked about how this metric is calculated. We have thus included a reconciliation of adjusted EBITDA to net income in the financial statements attached to our news release this quarter. We use this metric because we believe, adjusting for certain non-cash and other items enhances understanding of the performance of the business. The primary measure that we use for planning and budgeting purposes, incentive compensation and to monitor and evaluate our financial and operating results. It's the metric we use when we think about ourselves as owners of the business. With respect to our guidance around this metric for 2015, I will remind you that we said last quarter that we expected adjusted EBITDA for this year to be in the $20 million. With the first quarter now in the books, it does look like we will be comfortably above that number. Although, we do not want to be in the habit of resetting guidance every quarter. It is clear that Ting Mobile is providing the financial leverage we had hoped and expected. The additional cash generation combined with the consistent contribution of the Domains business, should make for continued strong results. We still have lots to work on with great opportunities to further grow Ting Mobile and other very exciting opportunities provided by Ting Internet. We are excited for the next few quarters. With that, I'd like to open the call to questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Hubert Mak from Cormark Securities. Your line is open.
Hubert Mak: Hey guys. I guess the first question I have is really on the Ting Mobile, you said you had an impact from Sprint and it sounds like things are being addressed and then you also had the GSM network available I believe March 1st here, so, as of today, can you tell us whether that run rate in terms of the additions, was there a pent up demand as you guys captured or -- and also how's the GSM being available or does that increase the subscriber additions here?
Elliot Noss: So, there's a couple of pieces there. First, as I noted on the call, we pushed GSM out a little bit early because of what was going on with FED, which is kind of the internal name for the device eligibility issue, and so you do see, even in the results that we reported, you do see the first little bit of GSM. We had some backlog of SIMs that were involved there. So, we've already got a little bit of that benefit in there. In addition, as I said, to sort of expand a little bit on what I said on the call, we noted that we have not yet turned back on marketing. So, you're seeing in what you saw in the quarter, we're still in a similar run rate through the first portion of Q2 and, we expect to start to go at that with some additional marketing. What we don't know, I mean, if there's an upside to having to deal with this problem, is we're getting quite an interesting AB test around all of our marketing programs and the ability to look in a way that you normally wouldn't get to look at their efficacy and so, we're seeing already some interesting things with what it does around awareness, around conversion, around gross adds in general. So, I think, you'll start to -- we hope that as we turn marketing back on, we'll start to see some pick up there. We don't know what the lag is going to be like and that's one of the things that'll be interesting to learn through this process and we're also and have been working on improving the process around GSM. So, we certainly felt that when we launched it, it was a little sub-optimal. We've been refining it and we think we'll see some pickups going forward, but all of that, so sort of the impact of re-launching the marketing, the impact of reworking around GSM, it'll all be things I'll be able to talk about in a lot more detail next quarter.
Hubert Mak: Okay, and just related to that, your sales and marketing was down in the quarter here, and I kept assuming that's partly due to this, so as you guys ramp up the marketing again, are we expecting that level to sort of go back to the historical around 4 million run rate? Is that the right way to think about it?
Elliot Noss: Yeah. I think it's, if I'm not mistaken a little bit north of 4 million run rate. You would see it return to the normal run rate, remember that last year, Q1, that included a bunch of those experiments. So, you'll see it return to the normal run rate, not the last year Q1 run rate. And, if you compare this quarter to Q1 of last year, the bulk of the difference is actually those experiments and a little bit, some of the difference is the cutting of marketing.
Hubert Mak: Okay, and then, and just on a competition, can you talk about, given the update here, whether -- have you seen any more aggressive pricing? You know, I think there has been in the last, late last year. So, are you seeing that impact in your business on the mobile side here?
Elliot Noss: No, we haven't seen anything -- in the quarter, we haven't seen anything new. So, it's as it was. I mean, my reset on that, which I think, I'd spoken some length about last quarter is it's a lot more competitive now than it was a year or two years ago, but we saw nothing change in the quarter, and I'd include in that, is the launch of Google which actually brought some awareness to us and we think it's a very interesting for a couple of reasons primarily around what they've done with multi-home SIMs and global roaming, we think those are just sort of positive impacts on the industry as a whole and we think that, it's a creative offering, but not one that we're much worried about competitively.
Hubert Mak: Okay, and then, just moving onto the interest side, okay, I know you gave a brief update here, but can you just give us a little more color in terms of both the Blue Ridge as well as Westminster in terms of on we would see sort of more meaningful revenue and I guess the other part is that, was there any contribution from Blue Ridge in the quarter?
Elliot Noss: Yes. I think Mike mentioned the numbers are in there for the quarter. There's not a lot -- the bottom line, there's not a lot of impact -- I mean, Mike is there anything you --?
Michael Cooperman: Yeah, I would say that the impact in the short term of the Blue Ridge acquisition is going to be more or less breakeven is the way to look at it.
Elliot Noss: In terms of timing around revenue, you're not going to see what I would call meaningful revenue from the Ting Internet business, really through much of the bulk of this year, if I think about it, so, let me use, as a threshold for meaningful -- the revenue that I generate from the Portfolio business, which we really have stopped mentioning in calls, because it's gotten a little bit smaller as the businesses kept growing, with the exception of sort of one offer [indiscernible] we really stopped reporting on it every quarter. I'm pretty comfortable saying although and going off the top of my head, you're not going to see the Ting Internet business get to even a portfolio level of revenue this year. We're going to keep you apprised because we think obviously long term strategically very important business. So, we want to be thoughtful about the operating metrics we put out and allow you to follow along and home as we always like to do, but in terms of meaningful for this year, I wouldn't think twice about it.
Hubert Mak: Okay. One last thing on the CapEx though, I see it ramping up for this internet division, are you able to give us an idea what the CapEx requirements are given that it's a more [indiscernible] higher interest account based requirements?
Elliot Noss: You know, I think it's going to be less than you would expect. We're getting a clear picture of that as we're putting out our specific plans. As we're communicating sort of in and with the people in Charlottesville in particular, remember, in Westminster, we don't really have CapEx in a meaningful way. We certainly have to buy some electronics, but that's in the couple of few hundred thousand dollar range. In Charlottesville, where we're building our network, we communicated with the people of Charlottesville that we're focusing our build and persistence on four particular neighborhoods. We're going to be building out those neighborhoods through the balance of 2015. You're going to be looking at, and again, you're not going to talk about in broad generalities, you're probably in the low to mid seven figures there.
Hubert Mak: Okay. Thanks, I'll pass the line here.
Operator: Your next question comes from the line of Alex Rackwitz of Samphire. Your line is open.
Alex Rackwitz: Hi guys. I missed the part where you mentioned the net ads of customer's accounts and accounts and devices, could you just tell me that again please?
Elliot Noss: Sure. That was 9,000 accounts and 16,000 devices,
Alex Rackwitz: Okay great, and I mean, congratulations to you guys, while it's just a little of a surprise how small the impact has been from the financial eligibility stuff and GSM came in quite late in the quarter. Can you kind of quantify what sort of extra support costs you had or I know you gave refunds on phones, you sent out SIMs. I mean, how big was the impact?
Elliot Noss: It wasn't a lot of cost that you see there. This certainly has -- I think the best way to describe it on the cost side, and then you'll tell me if this is responsive or not, you can direct me a little bit right or left. I think it's -- the best way to describe it, is it's accelerated a little bit some of our hiring. We had to bring people in to step up around a bit of a crisis and there is both with what we went through with some of the financial eligibility stuff and the launch of GSM, there's been a bit of a change in the sort of in the level of support that's needed and nothing there that long term fusses us, in terms of the cost model. In fact, I'd say, at a sort of all-in costs perspective, I was quite pleased at how we've been able to scale both from an operational perspective and from a cost perspective and that's not to say this wasn't a real bump. There's no question that it was. We've put our customer sat [ph] it's the most important thing in the building. We were unhappy with what went on, but I really was quite pleased with the way we were able to come through.
Alex Rackwitz: Okay. So, will we see a little bit more of that run rate in Q2 and your general and admin expenses de-levered, your sales and marketing obviously decreased, is that going to show more in Q2?
Elliot Noss: You'll see it, but I mean, it's in numbers that don't know that will be much visible to you. Just the natural role of growth in the Ting Mobile business is going to really make that look not that noticeable. The number that I most sort of track and be careful about is, what's my customer service per dollar of revenue and while that number has ticked up a little bit and I'm talking points or two, 1% or 2%. It's as the model, is kind of getting closer to steady state although still far away from it. So, you're still going to see the net margins improve. They're not -- some of the growth in the business strips that little bump there.
Alex Rackwitz: Okay, understood and then just generally on your sales and marketing, I mean over the last three years that's kind of ticked up as you've grown Ting, in terms of revenue and obviously in absolute dollars, but it's kind of flat lined in the last six, seven quarters. Have we kind of reached that tipping point where that becomes scalable versus your revenue?
Elliot Noss: It's -- here's what I -- I mean, I guess, you know, I'm struggling with the word scalable and the reason because, whenever I'm talking with shareholders, we are jointly lamenting that we can't just sort of take the economics, the fantastic sort of customer acquisition, low customer acquisition costs, high returns on that and just turn it up to 11. So, I don't know what, it's kind of -- the word scalable sets me back, I think it'd say that, you know, what you saw this quarter, I mean we literally turned off the tap there. I think, any time you go through that, you're going to learn to come out the other side. I mean, I've got a marketing team that's kind of chomping at the bit right now and, as you can imagine, they've had both refinements on it with the good thing marketing and new ideas to play around with. So, I mean, I'm always encouraging them to conduct intelligent experiments and I don't mind them having those experiments cost money. So, it's going to be quarter to quarter and we'll always give you great visibility to it.
Alex Rackwitz: Okay, understood. So, scalable was kind of the wrong word. I meant, It's kind of been increasing as a percentage of revenue, which is good, because obviously the return's very good and it's kind of because it's plateaued you're seeing some leveraging off those costs rather than scaling, so that's a wrong word. I was just wondering, you know, you're still guiding towards just north of $4 million. That's kind of sort of where the level has been for a few quarters, while your revenues obviously continue growing quite strongly. So, you're seeing more of that drop to the bottom line and I was wondering if that's a trend or whether that's just a pause.
Elliot Noss: Yeah. I think it's good. I mean, that helps me answer a little bit more accurately. In any given quarter there will be some portion -- so, there's some portion of the marketing effort that I would describe as steady state. It's the podcast sponsorships, the YouTube sponsorships, the referral fees, the coupon codes. The stuff we generally do from Facebook, AdWords et cetera and then you're going to have other things we're trying. Now, you can have two very different types of efforts. We could be experimenting with television and then contrast that with experimenting with some channel efforts, one is very cash intensive, the other costs almost nothing. So, they'll have very different profiles. So, it's almost going to depend more on the nature of the experimentation in that quarter.
Alex Rackwitz: Okay, understood and apologies for harking on about it.
Elliot Noss: Well, good. We got two complaints there I think.
Alex Rackwitz: One last question please. What percentage of your customers have Nexus 5 and Nexus 6 phones?
Elliot Noss: So, I have some exposure to those numbers on a run rate basis, not on a total basis. So, I don't have a good answer for you. I mean, Michael did you want to guess? Yeah no, I think that's even a little high. So, at its peak, the Nexus 5, was kind of 15%, 17% of our ads. The Nexus 6 is a lot more expensive of a phone. So, we're seeing Nexus 6 way below that. And that was in a run rate basis. By the way, if you're looking at sort of -- if you're worried about Google -- 5 -- Nexus 5 does not currently work with Google 5 [ph]. So, I know there's some talk that they could turn it on for the 5, knowing what I think they want to accomplish strategically, I don't know that they'll do that, but in any event, combined, boy those will comfortably be sub-10%. Michael Goldstein who runs acquisition is sitting here. He was guessing 8, I would probably guess, but it's really that more 5%, 6% and that's 5 and 6 combined with the majority of that being 5.
Alex Rackwitz: Then on Ting Internet, is it too early to kind of see what's an uptake rate you have from the houses that you passed?
Elliot Noss: Oh yeah, way early.
Alex Rackwitz: Way early, okay.
Elliot Noss: Yeah, we're not official launched. We'll probably be launching -- we're expecting -- the launch is planned for sort of very late this month. We'll see that might flip into June. At this point we're more looking at things like what's the take on the current network build. So, it's really -- any numbers don't matter at this point.
Alex Rackwitz: Okay. Awesome. Thanks a lot.
Elliot Noss: Thanks very much.
Operator: [Operator Instructions] And we have no further questions at this time. I will turn the call back to Mr. Noss.
Elliot Noss: Thank you all for joining us and I look forward to speaking with you next quarter. Thanks. Thank you, operator.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's conference call and you may now disconnect.